Operator: Greetings, and welcome to the Plug Power Second Quarter 2021 Earnings Conference. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] Please note this conference is being recorded.  I will now turn the conference over to your host, Teal Hoyos, Director of Marketing Communications. Thank you. You may begin. 
Teal Hoyos: Thank you. Welcome to the 2021 second quarter update call. This call will include forward-looking statements. These forward-looking statements contain projections of our future results of operations or of our financial position or state other forward-looking information.  We intend these forward-looking statements to be covered by the Safe Harbor provisions for forward- looking statements contained in Section 27A of the Securities Act of 1933 and Section 21E of the Securities Exchange Act of 1934. We believe that it is important to communicate our future expectations to investors. However, investors are cautioned not to unduly rely on forward-looking statements and such statements should not be read as a guarantee of future performance or results. Such statements are subject to risks and uncertainties that could cause actual results to perform or differ materially from those discussed as a result of various factors, including, but not limited to, risks and uncertainties discussed under Item 1A Risk Factors in our annual report on Form 10-K for the fiscal year ending December 31, 2020 as well as other reports we filed from time to time with the SEC.  These forward-looking statements speak only as of the day in which the statements are made and we do not undertake or intend to update any forward- looking statements after this call or as results of new information. At this point, I would like to turn the call over to Plug Power’s CEO, Andy Marsh.
Andy Marsh: Thank you, Teal and thank you for everyone for attending our call today. This quarter had a mixture of successes and challenges. The successes are easy to rattle off. Revenue increased dramatically by over 75% versus the prior year, shipment of GenDrive units in new site dramatically increase versus the prior year.  We closed HYVIA JV with Renault, targeting the light commercial market for vehicles in New York. This market is expected to be 500,000 vehicles in 2030, with over 30% of the market captured by the JV. We did have some challenges in the quarter associated with hydrogen costs. There are two major drivers, the cost the bending our relationship with their products. This had short term impact on pricing and construction costs are replaced Air Products liquid tanks. This is about two thirds of the increase in the hydrogen cost for the quarter.  There also was a crisis with the availability of hydrogen due to a force majeure. Force majeure was due to a major hydrogen plant going down for two months in the Southeast. This local disruption impacted the U.S. hydrogen network. Why I think is really important? We have Plug Power made sure our customers had hydrogen throughout this event.  Let me talk briefly about our near and midterm corrective actions. Bureaucratic changes were a onetime event and now won't be duplicated. We're also now not stranglehold by having industrial gas companies, owned equipment and any of our customers sites giving us greater flexibility in making sure we have cost effective hydrogen solutions for our customers.  Second, the force majeure for hydrogen was an unprecedented event. In July additional capacity was brought online by our partner, Linde over 30 tons per day, which will alleviate future issues just to get people feel this is an increase of over 10% of U.S. capacity. We're also increasing our own capacity in October by 3.5 tonnes in our Tennessee plant.  Plug Power will have an additional 70 tonnes one line in third quarter 2022 and additional sites online in early 2023. And just to remind folks, we use about 50 tonnes of hydrogen a day at the moment. And we've already announced additional green hydrogen sites across the board in New York, Pennsylvania, Georgia and Texas. This week we broke ground in our Georgia site, and the site to New York and Texas will be the largest green hydrogen plants in the world. Somebody asked, why did we absorb the costs of the force majeure? We believe in the near term, protecting our customers from the challenges in the market today will pay off in the near term. We want our customers to know they can count on hydrogen be available, and more importantly, can count on Plug Power meeting your needs. They will be critical in helping us fill up our new plants.  We have an exciting news coming up in the coming quarters. We're increasing our gross billing guidance in 2021 to $500 million. This means we'll be increasing our gross billings by over 50% from our 2020 numbers. We will close our JV with SK this quarter as planned. We're working on the final details of the relationship both of us are really quite excited. And will also be closing our JV with Acciona in the Iberian Peninsula. We plan to build 30 tonnes of liquid hydrogen capacity with Acciona, makes it one of the largest liquid hydrogen producer in Europe.  We're also targeting bookings of 250 to 500 megawatts of electrolyzers in 2021, with 250 megawatts shipping out of our new giga factory. We'll be making announcements in the second half for additional take off agreements for hydrogen plants. Finally, and this is really important. With the giga factory, we're utilizing state of the art automated equipment in our new manufacturing processes. We're playing to match our unprecedented capabilities, in sales and design of fuel cells and electrolyzers and become not only a leader in manufacturing news devices, but a global manufacturing leader. That's why we hired Dave Mindrich, who ran the Tesla giga factory in Nevada. We remain incredibly excited about the future. We'll be holding our Third Annual Plug Power Symposium on October 14. We’re moving to a virtual event because of the recent uptick in COVID cases. You'll be able to sign up online next week and we expect to have an in-person event in the spring once a pandemic we see to show off our facility in Rochester. I was there yesterday. It's just great.  Finally, we're operating now with four general managers for our different businesses. Keith Schmid, The New Markets. That include stationary and on-road vehicles. Keith has done a marvelous job closing up that HYVIA idea gap. And as you know, Keith has been Plug COO for seven years. Only half men running our electrolyzer business, only worked with Keith for 29 years, and ran their U.S. hydrogen business for many, many years.  Jose Crespo has lead led our sales efforts for six years is now the head of our material handling business. And Sanjay Shrestha with a long career in renewable energy is running our energy business. Quarterly, I'll ask one of them to join the call. They're focused on building the business and I'm sure the analysts would like to speak with them.  And this quarter I've asked Sanjay to join me as well as our CFO Paul Middleton. We're ready now to take questions.
Operator: Thank you. At this time, we'll be conducting a question-and-answer session. [Operator Instructions] Our first question comes from Colin Rusch with Oppenheimer. Please proceed with your question.
Colin Rusch : Thanks so much, guys. Well done on the revenue guide higher here. But what I would love to understand in more detail, is what's going on with your customers in terms of the growth trajectory into ‘22 and beyond? What sort of foundation are you laying at this point? What you point to in terms of customer activity, conversion rates and order size that would give us some comfort on the continued growth as we go forward? 
Andy Marsh : Yeah. So Colin as you know, we've committed to -- first let me take a step back. I'm sitting here and it's beginning of August. And we have the $500 million in-house for shipping this year. That's really unprecedent. For next year, we feel incredibly comfortable with the $750 million. Now, I expect the electrolyzer business to be $150 million that. I expect material handling, this year will be $457 million. And we expect that number to go up and continue to grow. And the energy business and new markets have great potential.  Before this call for this call, Sanjay and I had long talk about whether we should be up and guidance for 2022 today. We have this symposium on October 14. And I think you'll see us lay out a new plan and some new insight into how the business can be significantly bigger in 2022 and 2024.
Colin Rusch : Okay, thanks so much for that. And then the follow up is really around the Class 6 truck, and the progress you’ve made on that in terms of finishing up designs, qualification of suppliers and your ability to start building some of those things with your partners.
Andy Marsh : Yeah. Colin, we expect things are progressing. Unfortunately, we're not having an in-person event, where we're going to have some vehicles there, both for the light commercial vehicles in the Class 6 to show off. I've seen the vehicle that we've done for our JV. We're remaining in line that we will do 10 significant pilots next year for on-road vehicles. I think probably more important, we are in discussions about the model for heavy duty vehicle trucks. And I think, I didn't mention that in my opening remarks. But I think you'll be certainly hearing a lot more about that in the coming six months, and certainly at the Plug Power Symposium.
Colin Rusch : Perfect. Thanks so much, guys. 
Andy Marsh : Good talking to you, Colin.
Operator: Thank you. Our next question comes from PJ Juvekar with Citi. Please proceed with your question. 
PJ Juvekar : Yes. Hi, good morning. Good to be on your call.
Andy Marsh : Good afternoon, PJ. So I know we usually do this in the morning. It's wonderful to talk to you. 
PJ Juvekar : Good to talk to you, Andy. I understand that you have to absorb some cost hydrogen cost for your customers this quarter. But as you build out your hydrogen network, would you have cost pass throughs built into your future contracts?
Andy Marsh : I will let Sanjay take that. Sanjay, I know you run this and do this every day.
Sanjay Shrestha: Sure. Happy to do that. And thank you. Hey, PJ, how are you? So PJ a couple of points. Our goal is to really think about making green hydrogen as economical as green hydrogen, number one. Number two, the way we're building this green hydrogen generation network, we're really thinking about how can you tackle force majeure like this, so that any another plant shut down because of the force majeure disruption in the industry is not as big of an event for the entire hydrogen industry, as well as for Plug Power and our customers. So the way we're looking at it, our goal is to be as transparent as we can. But we're really not looking to take a view frankly, of being opportunistic, if you will, for lack of a better word. If there is a disruption in the industry, this is the time to hike up the price, deal with situation like that.  Look, our goal is to make sure that we keep driving the cost and price of hydrogen down, so more and more application opens up right. So that's the approach we're taking. That's how we think about it. And really we're not looking to sort of make sure that we're maximizing the profit opportunity. Of course, we want to make sure we have the right return profile built into this right. And again, one of the key things that we have set it in the past, we are really looking to make sure that our end customers get green hydrogen at the same price that they're paying for grey hydrogen today.  And more importantly, we're focusing about really build the ecosystem more as come online, where hydrogen becomes more and more ubiquitous, and folks are unconcerned about having apps like long road, middle mile vehicle and things along those lines. That's how we think about this, PJ.
PJ Juvekar : Great, Sanjay. Thank you. And as you get closer to building out your new hydrogen network, cost of construction is going up everywhere. So do you have a good handle on your building costs, as well as your green power costs? And given all that, are you still sticking to your gross margin targets for hydrogen fuel that you highlighted before? Thank you.
Andy Marsh : Sanjay, you want to take that one, too? 
Sanjay Shrestha: Sure, Andy. Happy to do that. So PJ, let me break that into two parts. First part of the question is the power component, absolutely apps, so that there was no change to that. If anything, we're continuously looking to see where else can we lock in more location where there is an attractive available sources as well as expansion potential? And which is why we're working with a lot of different partners on that front.  Now you bring up an excellent point, which is commodity prices are up. And, are we concerned about potentially EPC costs being maybe marginally higher than what we thought. Look, when you're doing big projects like this, there's always going to be some pluses and minuses. But at this point in time, given that the biggest component of the cost is variable cost, and that's electricity. CapEx is still a relatively small component when you think about the total cost for kilogram of green hydrogen molecule.  So even if there were to be some escalation, given what's happening to the commodity prices, labor prices, we really don't see any changes to what we've talked about from our cost target as well as margin targets.
PJ Juvekar : Great, thank you. I'll pass along.
Andy Marsh : Thank you, PJ.
Operator: Thank you. Our next question comes from James West with Evercore ISI. Please proceed with your question.
James West : Hey, good afternoon, guys. 
Andy Marsh : Hey, James, how are you today? 
James West : I'm doing well. Andy. Andy, your increased confidence in -- you're raising guidance, and then it sounds like you increase confidence in next year as well. Is that driven more by your base materials handling businesses gains more missile momentum? Or are you getting momentum in some of the other areas you've been targeting like data centers?
Andy Marsh : Yeah. So let me tell, James the answer is actually yes. let me just give you a good deal of my increased confidence for next year has to do with the continuous performance of our material handling business, which I think it's probably fair to say. We'll continue to grow with the rates we've seen before. We have now five pedestal customers. I start talking about pedestal customers two years ago, we had two. And now Jose Crespo pointed out to me, we've already stepped in number of pedestal customers, we expected in 2024 this year. I mean, that's a huge accomplishment. The electrolyzer business, no I believe will be at least $150 million next year.  And just to give you a feel for that, I spent seven to two days in Europe with only [Indiscernible] and David Bow, who run our electrolyzer business. In just seven to ten days, we booked $30 million worth of business for next year. So that just gives you a feel. And we're working on some rather huge more projects.  One of the advantage we have, James versus other folks, is we actually have a factory that can make stacks at that pace, which is needed for that market. It provides us a unique advantage, I think versus the competition. And now I look at the funnels and no, I didn't even touch on the stationary market. And in the stationary market, we have activities and data centers. First units will be getting deployed now.  What we also found two other markets, which the first one I never really thought about, which is counterintuitive to me but we're seeing for EVs that folks are having difficulty bringing the electricity to the grid. And we actually probably next year could just do $25 million to $30 million in business providing stationary products to power EV -- EV vehicles which is in some ways kind of counterintuitive. And our present customers and material handling at the end of this year, we'd be at 165 sites. They have hydrogen on site. And I can tell you, because of some of the issues with citing these or some of the issues with the law in California, there's limits to how long you can run the diesel engine. We actually see and been talking to our five big customers about deploying stationary power products and backup their building. And those applications -- they're low hanging fruit because we have the hydrogen there.
James West : Right. Make sense. Congratulations on that. Maybe just follow up for me on your green hydrogen as you bring production online, how should we think about the pace of takeoff agreements? So those be coming on kind of consistently, as you start up the production? Should we hear about them well before? And I guess, do you think you'll basically have sold most of your hydrogen before it actually come online?
Andy Marsh : Sanjay, I will let you take that one. 
Sanjay Shrestha: Yeah. So hey, James, how are you? So great question. This is something obviously, we're spending a lot of time on now. Because our initial priority was to lock in the sites, right renewable sources, cost of green hydrogen molecule, that's been our focus. How do you make sure you get these things done on time, on budget, stay with the schedule?  Now that part as Andy mentioned, it's now becoming a lot more reality. We just broke ground in Georgia plant, which will actually be the gas plant by the end of this year, the first green hydrogen gas plant and then 15 tonne liquid plant by the summer of next year. So, we obviously have a lot of those discussions going on. And we look forward to providing a lot more updates, obviously, at our upcoming symposium.  So the way we're thinking about this is as follows. Our goal is to really make sure that our customers are getting the benefit of this green hiders, number one. Number two, our goal is to expand more applications so that the pie becomes bigger. We're not looking to go after the existing pie or the hydrogen market if you work, right. Our goal is to really make sure that the pie gets bigger.  For example, James, material handling consumes one kilogram of hydrogen a day, if you have Class 8 truck, that's going to consume 40 kilograms of hydrogen a day. If you have 10,000, Class 8 trucks, you're going to need 400 to 500 tonnes per day hydrogen capacity. Today, you have 285 tonnes per day of liquid hydrogen merchant capacity in the U.S. We're trying to tackle that topic, that issue and not to mention the fact that incremental demand from stationary data center opportunity.  So you will see us start to get this plants loaded as we go forward as this plants are going to start to come online by the summer of next year, in Q4 of next year,Q1 of 2023. And we'll have a lot more to share over the next quarter or two.
James West : Okay, got it. Great. Thanks, Sanjay. Thanks, Andy.
Andy Marsh : Thanks, James. 
Operator: Thank you. Our next question comes from Craig Irwin with ROTH Capital Partners. Please proceed with your question. 
Craig Irwin : Good evening, and thanks for taking my questions.
Andy Marsh : Good evening, Craig. How are you? 
Craig Irwin : I'm great. Congratulations on that really nice revenue guide. It's good to see the traction. Andy, I remember many years ago, in Albany, when you were working on the cost out of your systems, you really did an impeccable job by engineering the product. And then there was a little bit of a -- let's just say technology, substitution technology evolution in there as well. This giga factory you're going to be building. This is more an innovation on the manufacturing side, not just on the technology. So it's a more holistic approach. Can you maybe help us understand the potential cost improvement on stack production out of this facility and electrolyzer production I should say, too? Are we looking at very material cost down in overall system economics? Is there something that you see is key to unlocking the longer term margins of the company?
Andy Marsh : Craig, I think you hit it on the head. And I'm going to say -- I brought Dave in from pass off [ph], to automate that factory and help us significantly drive down costs. When I look at the cost of MEAs, when I look at the fact that we're moving to metal stamp plates for our stacks, when I look at we're changing the whole manufacturing process for how you manufacture electrolyzers by going from a dry to -- from a wet to a dry [ph], we see step changes in cost.  So, I think before we do other work, I think you're probably thinking about the cost sort of typical frock and drop 20%. But there's still so much more. We've been in our Laytham factory, Craig. One of the areas is -- I kind of opened this call, and I talked about that improving our manufacturing, both at the giga factory and in Laytham. We're looking at all sorts of tracing systems and make sure we're on top of everything, not only will drive down on material costs, it will make our quality better and our service better and predictability better. I was there at the giga factory yesterday, watching the construction process. And I think it's going to be a game changer for our costs.
Craig Irwin : Excellent. So my follow up question is around the heavy-duty market, trucks and buses, and I guess mini jeep as well. There seems to be a misperception out there that this market is several years away. I know you've been talking about this now I guess, for close to two years. And it's unusual for you to talk about something unless there's material action. Can you maybe scope out for us? I know, you're not ready to talk about individual customers or commitments on the part of customers. But can you can you maybe scope out for us? Roughly, how many stacks you've supplied for potential customers to evaluate, either as engineering bench systems or to build test vehicles, or prototypes that wouldn't be evaluated to put together business plans? Are we talking about single digits or is there potentially a much wider experience base that's already been developed?
Andy Marsh : Craig I would say the experience is wider. And look, we've already built -- we're building vehicles at our HYVIA JV. You look at the master van product and you look at it, it's the real deal. And, we do have -- we try and make sure I phrase it, right. We do have, I'll say yeah, but we use which based on trials we have, which could expand rather rapidly the vehicles beyond like commercial vehicles. And as you can see with the DAE we have activity going on in the bus, which quite honest as I put a lower priority long-term. I expect that will be -- I know, I'm giving a presentation coming up in the next month about everything we're doing with vehicles. And I think I'll be able answer your questions probably even better then. But it is a significant activity.  And what's really nice about it, it's completely tied to our stationary product activities too. So I look at our 125 kilowatt module. And it's really a system, it’s not just a module. And that I think from a density and performance point of view, we think it's the best in the industry. When we look at Toyota numbers, when we look at Honda's numbers, we think we’re well positioned.  And look Craig, after it dice down here with COVID after this Delta virus goes away, I'd love to have you come up and kind of show up a little.
Craig Irwin : Sounds like fun. Hey, congratulations on the progress. 
Andy Marsh : Thanks, Greg.
Operator: Thank you. Our next question comes from Eric Stine with Craig-Hallum. Please proceed with your question.
Aaron Spychalla: Great. Thanks for taking the questions. It’s Aaron Spychalla on for Eric.
Andy Marsh : Hey, Aaron, how are you? 
Aaron Spychalla: Doing good. Thanks, Andy. Maybe first on the pedestal customers, you kind of touched on it a little bit and congrats on being ahead of the timeline. But with that fifth customer is that still the thought process of $25 million in the back half? And can you just maybe talk a little bit about potential for other auto customers?  And then maybe switching over to Europe as well, you've kind of talked about three pending customers. Can you give us an update there? 
Andy Marsh : Sure. Good question, Aaron. So the pedestal customers 25 in the second half, and we expect to well over 50 for 2022 already, with sites that have been identified. And they're targeting, really roll it off around their factories around the world. In Europe, we're making a big commitment Aaron. And by the way, you're going to get a scoop here. Now we're putting a facility in in Dusseldorf, Germany, where we'll have over 50,000 square feet to support material handling customers in Europe where we'll do final assembly and do stocking levels for Europe, that's really the target.  I know that there's customers that -- we have not spoken about them before, for which at the sites that have material handling equipment through Plug Power, during COVID to perform better than others in their network. And that's how we usually convince people because they could see they can move more goods with less people and faster. And that value proposition is really valuable.  The activity we're doing with the Acciona in Spain, is also closely tied to that work. By putting 30 tonnes of capacity in Spain, will be able to provide those customers cost effective hydrogen, not only for the material handling fleet, but stationary products, as well as on road vehicle. So we're really trying to package and sell all the activities as a group, not as an individual item.
Aaron Spychalla: Great, thanks for the color. Yeah, that's really interesting. Second question for me, on the electrolyzer side, can you just give us a little bit more detail on the pipeline? You kind of gave some really good news on that 10 day trip you had out there? Just what are you seeing on the size of kind of deployments, as we look into next year, given the capacity you’re bringing on?
Andy Marsh : We have a funnel today that exceeds $2 billion for electrolyzers. And as you can see, I put out relatively modest numbers for next year based on that. We are in negotiations with plants, which are as large -- which customers are looking for sites as large as 1 gigawatt. And just to give you a feel that, that one project would be somewhere in the $500 million to $600 million range. So there are huge, huge opportunity.  And, we've really established a strong leadership team there with both men from [Indiscernible] and David Bow to work now to really exploit market -- exploit is not real that good word really engage the market. And we have sales folks across the world, Europe, the U.S. as well as working with SK and South Korea and for use in Asia. We have activity going on in Oceana. It's really a global sales effort. And I think the fact that we can actually put stacks out there. The remarkable thing about what we've done with the giga factory, that's really the team people like Dan O'Connell, Keith Schmid is that we have a footprint that can be leveraged over and over again. There's 256 pieces of unique equipment, and just a how Sanjay designed the - he's designed a hydrogen plant. The view is this is a modular setup. We can build smaller and larger plants using the same methodology over and over again. It's really, really -- I sit there with how the team thought about that.
Aaron Spychalla: Great, great, thanks for the call on best of luck on all the exciting opportunities.
Andy Marsh : Thanks, Aaron.
Operator: Thank you. [Operator Instructions] Our next question comes from Amit Dayal with H.C. Wainwright. Please proceed with your question.
Amit Dayal : Thank you. Good afternoon, everyone. 
Andy Marsh : Good afternoon, Amit. How are you? 
Amit Dayal : I'm good, Andy, great color on the cost. Just one question with respect to sort of the margin challenges, et cetera. Can we assume that the bottom was in with the 2Q gross losses and we see improvements going forward?
Andy Marsh : Sure. I'm going to let Sanjay to take that since really, that was the challenge. So Sanjay, you want to go through that? 
Sanjay Shrestha: Yeah. Happy to do that. Hey, Amit, how are you? So short answer to your question Amit is yes, you should expect margin trend to improve as we go through the year and obviously into the 2022.  But as Andy mentioned, and as he alluded in his opening remarks, as well as the details we provided in our shareholder letter, let's take a step back and think about what really happened here in Q2? First, obviously, we transition from -- as Andy talked about, from air products to Linde in terms of all the hydrogen we're sourcing from our industrial gas company. That's one, that was a pretty substantial cost transitioning. That really was almost two-thirds of the cost of increased hydrogen molecule in Q2.  Second thing we had was one of these unprecedented event where a plant went down for almost two months, where we actually had to mobilize our high pressure tube crawlers to support our existing industrial gas partner, but more importantly make sure that any disruption that did not happen to our end customer. And any disruption was very, very minimal. Because as you've heard from Andy, many times where every customer obsessed companies, that is our top priority. That is our top focus, but guess what, that cost us money as well.  And then on top of that we had to go even ourselves pick up hydrogen from the other location at the higher prices. So when you really look at our Q2 and sort of a margin impact, it was multiple of these factors. One of these unprecedented event from a force majeure perspective, how long this plant stayed down and how we've continued? Essentially, the industry had almost 50 tonne of capacity, that was destructed for almost two months. That's obviously all that come back online. Now normally, that Linde has added over 30 tons of capacity in Texas, which obviously helps the market. And you will see as our green hydrogen plants come online and the past numbers that we've talked about, that will help the entire industry, obviously our customer and Plug Power as well.  So short answer to your question, yes, Amit I think Q2 hopefully marks the bottom here. And short of any major force majeure again in the second half of the year, we should really see this trend to improve.
Amit Dayal : That's really good to see here taking care of customers. It was a big priority for you guys right now, as you sort of commercialize everything. So that's good to know. Just one more question for me, maybe Sunday directly for you. How far away are we from green versus gray hydrogen parity?
Sanjay Shrestha: Amit, you've heard us say this many time. Out of the gate, when we will have our first liquid hydrogen plant come online in summer of 2022. We plan to sell that green hydrogen at the same price that our customers are paying for gray hydrogen today, and still see pretty meaningful improvement in the margin profile. The way we see it, the title green hydrogen, it's today. It's not five years later, it's not 10 years later. But you have to keep things in context. When you talk about hydrogen, when we're referring to, our green hydrogen add parity with gray hydrogen, we're strictly talking about liquid hydrogen in the market today. So we're comparing liquid green hydrogen with liquid gray hydrogen. And if you then start to think about green hydrogen, for the gaseous hydrogen, you have to compare that with a gaseous great hydrogen.  So from our viewpoint, I think price will continue to go down but the time is here, it's now. And our goal is to make sure we make hydrogen ubiquitous that's green, that's cost competitive with gray hydrogen out of the gate starting in the middle of 2022 and keep making improvements thereafter.
Amit Dayal : Got it. Thank you so much, guys. Appreciate it. 
Andy Marsh : Amit, as you know, it really all comes down to the feedstock. And I think the work that Sanjay is team has done to procure long-term low cost PPAs is really the reason that green hydrogen will be on parity with gray hydrogen in the near term. So it is really comes down to what's the cost of the feedstock.
Amit Dayal : Thank you, Andy. 
Operator: Thank you. Our next question comes from Chris Souther with B. Riley. Please proceed with your question.
Chris Souther : Hey, guys. Thanks for taking my question here. Maybe just one last one here on the fuel costs in the quarter. Is there anything in that $31 million additional costs, incremental costs, you talked about something that would continue to repeat in the next couple quarters until we get that internal supply starting to come online? If you back that out your fuel margins go to mid-teens. And that would obviously be a huge kind of incremental step here. So I'm just kind of curious how good can we get those margins before the internal capacity comes online?
Andy Marsh : Yeah, Chris, I'm going let Sanjay answer it. But it's good to hear from you, Chris. Sanjay?
Sanjay Shrestha: Thank you, Andy. Hey, Chris, how are you? So a couple of things. You're right. Obviously, we would not have to third of what happened in this quarter. Obviously, the transition away from air products and the costs associated with that certainly would not repeat itself. That's one.  Second item here is look -- and we fully expect the price of hydrogen from our -- we obviously have a very strong relationship with Linde. We are working with them on a variety of different things even beyond the supply of hydrogen. We do have a partnership do and provide them with Class 6 vehicles as well as the Class 8 vehicle. So we are obviously in a constant dialogue to see how we can continue to drive the cost of hydrogen down so that we can continue to propel the growth of multiple end markets. So that should be an incremental positive as well.  On top of that our capacity in Tennessee goes from 6.4 to 10 tonnes a day by the end of October, that will also help you know from the overall cost perspective. So look, direction of the price will go down.  One big caveat that we cannot handicap at this point in time until our own capacity comes online is there another force majeure, as we go into the peak season to support our customer in Q4 of this year. If there is one, that could certainly be a negative impact. We will be using a lot more of our high pressure tube crawler price could be negatively impacted by that, or short of something like that. You should absolutely expect directionally fuel margin to start to go up, and certainly will be meaningfully better as our capacity comes online. Is there anything you'd like to add? 
Andy Marsh : No, I think that's right. I mean what we're doing is making sure that what we did the last quarter was making sure the hydrogen economy will happen soon. And I think that it will have great incremental benefits, Chris. And you'll see huge improvements.  I kind of want to take a step I haven't had a question on policy. And I think that one item people should remember, when listening to our discussion today, we're not even pricing in the opportunities in the U.S. associated with items like the infrastructure bill. The infrastructure bill includes $8 billion for hydrogen hubs, to generation hydrogen for natural gas networks, for generation of hydrogen -- replacement -- generation of hydrogen to blend in the natural gas networks for on road vehicles, for fueling stations. No company in the world is better positioned to take advantage of that large opportunity.  When top of that when you look at reconciliation here in the United States. Now there's work going on, which will allow this tax credit to extend for 10 more years. There's work going on, which would suggest a $3 tax credit for green hydrogen. These are all game changers to make sure that will really be another accelerant to this hydrogen economy.  And quite honestly, it's going to be green, especially with green hydrogen, lower costs and gray. The world's going to change much more rapidly than people can imagine. We're out there at $1.7 billion without all this exciting work going on in the U.S. and Europe, as well as potential in Asia.  So I think the pie and the opportunity to accelerate this company even quicker, and this hydrogen industry even quicker is really, really important. It's critical, Sanjay to get these hydrogen plants online based from a cost point of view, but also how you make this pie as big as possible as rapidly as possible. When the President of United States sitting there saying he wants to see 30% of vehicles in 2030 being zero emissions. Whether they hit it or not, those kind of goals and those kind of aspirations are just completely in line with Plug Power’s, broader vision.  I don't think anybody could be better positioned.
Chris Souther : That's great to hear. Maybe just next one on the HYVIA JV and kind of the strategy as far as hydrogen supply in the French market. It sounded like the Acciona deals more around some kind of industrial and on road type stuff within Spain, Portugal. What are the plans for kind of French production of hydrogen for you guys? Is that something that's on the table here or are you planning on kind of supplying from Spain?
Andy Marsh : Absolutely, Chris. And yes and yes. So Chris, if you look at the HYVIA JV, it does include using our electrolyzers to generate hydrogen for customers. That'll be controlled 100% by Plug, it includes fueling stations, it includes, of course, the vehicle and aftermarket service. And we do believe that we will be developing -- fueling hydrogen generation in France and throughout Europe. Over the coming years, we'll be leveraging our electrolyzers. I would expect that you'll see announcements of activity in France. But we will be supporting some of the French activity especially initially with the liquid hydrogen we're putting in place with Acciona. What's really interesting is, it’s a really huge opportunity there. Because in Europe, the availability of liquid is not nearly as significant as here in the States. And I think that people are beginning to realize, for storage capability. Just the customer site, you need to have liquid. And with the plant we're building with Acciona, will become a major player in liquid hydrogen almost overnight. And I think the applications there and ability to build on that, based on our experience here in the state, will really help us grow that market even quicker.
Chris Souther : That's great. And maybe just the last one here. If you could talk about the timeline for the bus power train, and fuel cell module kits that you guys are working on with that new partner? Any OEMs and kind of advanced discussions the purchase of the system? And then, are there plans beyond North America for collaborating with those guys for others on the bus side?
Andy Marsh : Sure. I mean, BAE has a global footprint. They already have units through Plug Power. And I think there's a huge -- and they have a huge sales network that not only includes the U.S., but globally. We think they're a great partner.
Chris Souther : That's great. I’ll hop in the queue. Thanks, guys.
Andy Marsh : Okay.
Operator: Thank you. Our next question comes from Jed Dorsheimer with Canaccord Genuity. Please proceed with your question 
Jed Dorsheimer : Hi, thanks. Good evening, Andy.
Andy Marsh : Good evening, Jed. How are you? 
Jed Dorsheimer : Good. So, I guess first the force majeure, I guess what triggered the force majeure shut downs during the first half of the year or for the quarter?
Andy Marsh : Sanjay, do you want to take that one? 
Sanjay Shrestha: Sure. Happy to do that. And hey, Jed, how are you? 
Jed Dorsheimer : Good.
Sanjay Shrestha: Good. So Jed, what happened is sometime first week of May, there was basically a plant outage at one of the plant essentially supplying one of our key industrial gas suppliers. And then that was supposed to be a two week event, but essentially, they had some additional mechanical issue where the plan that was supposed to come online did not ended up coming online for additional two weeks. It was a start and stop. They ended up having some additional challenges.  That's really where it went from what was supposed to be a plant outage industry being an allocation to an absolutely and completely unplanned event triggered by some of the additional mechanical challenges. So that really caused us.  So typically what happens Jed, is industrial gas customers do have certain amount of storage on site to deal with situation like this. And if it was something that occurred like for the two weeks, and storage was depleted plans come online, that you probably won't feel the pressure, like the pressure that was felt in the industry at that time.  Furthermore, there was additional plant that were supposed to come online and typically in the commissioning phases of this plan plus or minus three-four weeks sort of things that tends to happen. So the new plant in Texas ended up coming online really by the end of June, rather than in the beginning of the June. So we were anticipating that that plant might even come online a little bit sooner.  Now, on top of that, you have some other industrial gas customer, where they also had additional ramp up issues in terms of their facility. Even in our Tennessee plant, we had about an 18 hour outage because feedstock supplies are curtailed by our feedstock supplier. So you have all this trifecta of an event that basically took what was supposed to be something somewhat manageable to an industry event, where you almost had about 50 tonnes per day of capacity that was essentially offline. But again, but looking back now and given where we are today, we're really looking at a situation only that all of that capacity have come on line. One, we're adding capacity in Tennessee, two, Linde's obviously added this big capacity in Newport, Texas, right.  So industry obviously has a lot more hydrogen to support some of the activity to really weather the storm like the one that we just faced in May, June, and really some part of July as well. So that's really what happened, Jed.
Jed Dorsheimer : Well, thanks for that extra color. I really appreciate it. Maybe, Sanjay, probably more directed at you here too, I guess. But Andy, happy to broadly --
Andy Marsh : I’ve not installed it yet. 
Jed Dorsheimer : So I guess if I think of costs, and I kind of split that between sort of the costs associated with the building of the plants and CapEx that are being -- that are weighing on because you're not producing anything from these plants. If I start to look at the sort of the materially higher costs, that you're incurring, how much do you attribute to sort of the overhead burden that should abate as you start to ramp production? And then how much are tied to sort of manufacturing inefficiencies that you hope to improve as you go along? I'm just wondering, is it kind of an even split? Or is it more of like 70% on the CapEx burden right now?
Sanjay Shrestha: So let me take that question in two parts, Jed. So where this is somewhat meaningful today, for us is really in the expansion of our Tennessee plant. So we have 6.4 tonnes of capacity/ Obviously, we're adding more storage, we're adding more human resources. We're obviously spending more in CapEx to take that to 10 tonnes a day. But today the cost of that molecule is not what we anticipate it to be on a fully loaded plant, which is really going to have to be about at 10 tonnes a day versus being at 6.4 tonnes. But frankly, Jed, that is not the biggest contributor in terms of what really hurt our fuel margin or the higher cost of fuel in Q2. Now as you then start-- you fully recognize the point you're making. As you then start to think about what is the impact to our cost of hydrogen, when some of the newer plans come online? You know this pretty well. A lot of that is really going to flow through the CapEx. It's going to become more about the CapEx.  So the only additional hiring we would do would really be training the plant managers at our Tennessee facility before the new plant comes online. So from the higher labor cost perspective, you would not be that meaningful.  Having said that, there is one thing that we are doing, even though this is going to add to the cost from a labor perspective as well as -- and you could argue that's a slightly higher cost of hydrogen in the near term is given what the industry is going through and given how important it is for us to make sure which is what we have done all along, that hydrogen is available all the time 24/7 for our end customer.  We have actually gone ahead and plan so that we're adding more assets in form of high pressure tube crawler. We're adding more liquid tankers even before some of these plans come online because we can react if there is another force majeure like this in the month of October or November, when our customers are going through the peak season, so that their work is not disrupted.  Now, is that an incremental cost that is going to be flowing through the fuel margin here in Q4? Yes, it is, but it would still not be as pronounced as what we saw in Q2, given we're dealing with so many factors at once. So that's an incremental color I can share with you right now. 
Jed Dorsheimer : That's really helpful. Hey, if I can squeeze one more in. I heard today a new manufacturing process on catalytic decomposition of methane from garbage. Just curious your thoughts on that? I was unfamiliar with it quite frankly. We're always thought of is more R&D, but other commercial companies seem to suggest that it's more closer. Curious, your thoughts on that obviously from a competitive perspective, it would have impact? 
Andy Marsh : Essentially you're feeding with Orangy [ph]. I think one has to step back and think about the availability of Orangy nationwide. And, I know from some experience with it. Regardless of what the issue is I think that's a bigger issue. I think where you’re going to get feedstocks in [indiscernible].
Jed Dorsheimer : Great. Thanks, guys. 
Andy Marsh : Okay, take it easy Jed.
Operator: Thank you. Our next question comes from Bill Peterson with JPMorgan. Please proceed with your question 
Bill Peterson : Yeah. Thanks for taking my question and nice to see Andy and team. 
Andy Marsh : Thanks, Bill.
Bill Peterson : Yeah, my question is, you announced this Plug Symposium, we’re certainly looking forward to hearing more about the progress. And I fully understand the mood of virtual, that’s understandable, but it was delayed by a month. I'm just wondering if the delay is related to any sort of production move in timing or any other delays. How does the manufacturing plan compared to your original plan?  And the reason I'm asking this is, you didn't speak to it, but it's pretty apparent that supply constraints are impacting a number of industries and perhaps maybe some lead times and then extending. And just curious if there's anything that's just changed in your manufacturing plant?
Andy Marsh : It hasn't. I think that's a good question. When I was there yesterday with our board, it is proceeding as planned. I think, look we shipped $126 million last quarter and shipped over 150 in the third quarter. We've had to really push hard.  I was sitting with the team yesterday, and we're reviewing the schedule and activities. We’re on schedule and we're on plan and equipments coming in. For example, one of the key additions to that plan is the metal stamping equipment for our stacks. And I know, we were in Europe last week, signing off on the equipment before we shipped to us.  So let me just put it this way. I think during this crisis, project management, supply chain management has become incredibly, you have to be at it all day long and an intense and the team there is doing that. I can tell you, every day at 8:30 in the morning, I go through any supply chain issues and understand what we can do to make sure we can support our customers. And we've been successful, and we'll continue to be successful at doing it.
Bill Peterson : That's great. And that somewhat of a lead into my next question. A lot has been asked about the hydrogen cost and those things. But actually curious more about how we should think about your margin trajectory here in the second half and in the next year, as it relates to more of the systems cost? You may got close to 20% here in the June quarter, how does that progress as we move through the year and into next year?
Andy Marsh : Mr. Paul, I'll let you take that one.
Paul Middleton : Thanks, Andy. And thanks for the question. Yeah, I think if you're talking about equipment in general, I think routinely over the last few years, we've hit the 35% mark I expect it to continue to hit that mark routinely. There are ebbs and flows, things like the freight impact from the global supply chain, tariff cost impact from the supply chain issues for the COVID. So there’s ebbs and flows. And then there's also the new product ramps that are going on.  So I expect it to get a little stronger with the volume, particularly with the volume in the second half one and a half times the first half. And I expect as we move into next year, it's going to continue routinely in that 35% plus margin as we move forward.
Bill Peterson : Thanks for that color.
Andy Marsh : Okay. Great. I think we got one last one here. Before we have to sign off. 
Operator: Yes. Our final question comes from Greg Lewis with BTIG. Please proceed your question.
Greg Lewis: Yeah. Hi, thank you for squeezing me in here. I'll just keep it to one. Andy, I wanted to touch a little bit on your comments around the infrastructure bill. Clearly, that's a huge opportunity. And kind of looking through it, it looks like they're trying to set up a couple hydrogen hubs, with some of that being natural gas focused, a little bit being clean energy focused and a little bit being nuclear.  Like, as you think about like positioning Plug to win that business knowing that, hey, you're going to do what you're going to do. You're not going to be beholden to the government. But as we think about natural gas, and that blue hydrogen opportunity, is that something that Plug is going to be targeting or just because it's my green hydrogen, we're just going to kind of, stay on the sidelines for that opportunity?
Andy Marsh : I think that we certainly are very, very interested in the apps, that will support that hydrogen. I fundamentally believe that green hydrogen wins in the end, because of cost I think because of the environmental impact. And if you take a look at -- there is real good question, Greg. If you take a look at for example, [Indiscernible], the delta between support for blue hydrogen versus green hydrogen is dramatic.  And quite honestly, I think that in the house support for -- and even the Biden Administration's not all that committed to carbon capture. The opportunity for us, we believe is in green. We know when you speak with people like Amazon, and Walmart and Home Depot and others who are targeting net zero Microsoft, you're not going to get there with carbon capture. And so, my belief is that if you look at -- when you look at the cost of renewable energy, I think carbon capture is going to go the way of coal.
Greg Lewis: Okay, thank you for the thoughts. 
Andy Marsh : Okay. Sounds good.
Operator: Thank you. 
Andy Marsh : Well, I really appreciate all the call -- all the questions today and the engagement. And we have the Plug Power symposium, as I mentioned, coming October 14th. And not only will we be updating 2024, we'll be telling you about 2025 and everything we have going on from our energy business to our electrolyzer business to new markets like on road vehicles, and of course, our base business and the material handling. I really appreciate everyone taking the time tonight. And you can register next week. So please register.  So thank you, everyone.
Operator: This concludes today's conference. And you may disconnect your lines at this time. Thank you for your participation. Have a wonderful evening.